Operator: Welcome to the OneMain Financial Third Quarter 2017 Earnings Conference Call and Webcast. Hosting the call today from OneMain is Catherine Miller, Vice President, Investor Relations. Today's call is being recorded. At this time, all participants have been placed in a listen-only mode. [Operator Instructions] It is now my pleasure to turn the floor over to Catherine Miller. You may begin.
Catherine Miller: Thank you, Cathie. Good morning and thanks for joining us. Let me begin by directing you to pages 2 and 3 of the third quarter 2017 investor presentation, which contain important disclosures concerning forward-looking statements and the use of non-GAAP measures. The presentation can be found in the Investor Relations section of our website and we will be referencing that presentation during this morning's call. Our discussion today will contain forward-looking statements reflecting management's current beliefs about the company's future financial performance and business prospects and these forward-looking statements are subject to inherent risks and uncertainties and speak only as of today. Factors that could cause actual results to differ materially from these forward-looking statements are set forth in our earnings press release. We caution you not to place undue reliance on forward-looking statements. If you may be listening to the call replay at some point after today, we remind you that the remarks made herein are as of today, November 2, 2017 and have not been updated subsequent to this call. Our call this morning will include formal remarks from Jay Levine, our President and CEO; and Scott Parker, our Chief Financial Officer. After the conclusion of the formal remarks, we will conduct a Q&A period. So now let me turn the call over to Jay.
Jay Levine: Thanks, Catherine, and good morning, everyone. Before I get into the business discussion, I want to extend a big welcome to our new Head of Investor Relations, Catherine Miller. Catherine spent the last several years in investor relations and equity research roles and was instrumental in building out some of the leading investor relations programs. I’m sure you are going to enjoy working with her as much as we already have. Now, let’s turn to our third quarter results. We delivered a strong financial performance highlighted by solid origination growth, attractive product mix and stable credit performance. We further captured the benefits of our embedded operating leverage and continued to strengthen our balance sheet. Importantly, we continue to see a benign credit environment and consumer confidence remained strong. This should bode well for the overall economy, growth and household spending and importantly consumer loan demand. Our Consumer and Insurance segment generated a $1.01 of adjusted earnings per diluted share, excluding about $0.10 of estimated hurricane impact. Like many others, the hurricane impacted our customers, our employees and to a lesser degree our business, and as expected, we maintained our focus on the wellbeing of our customers. Let’s now take a high-level look at our third quarter financial results. Turning to Slide 5. Consumer insurance receivables reached $14.3 billion at quarter end, up almost $500 million in Q2. This quarter’s 19% year-over-year origination growth reflected the great strives we’ve made in branch productivity. With the integration now well behind us, loans closed per branch and legacy OneMain were up 47% year-over-year, reflecting the great progress in closing the production gap between the two networks. This was the key part of our original strategic plan and we are proud we have made significant progress. Taking a look at Slide 6. Q3 credit performance was right in line with our expectations. 30 to 89 delinquencies came in low at the last year’s third quarter levels, which included about 20 basis points of impact from integration and were seasonally higher than the prior quarter. Net charge-offs were 6.4 in the third quarter, up 14 basis points year-over-year. As you may recall, Q1 early-stage delinquency rate was elevated as a result of the integration, which flow through the charge-offs this quarter. We remain on track to achieve a net charge-off rate of 6.5% in the fourth quarter and 7% for full year ’17. We expect further improvements in 2018 as our de-balance portfolio continues to season. Moving to Slide 7. As you heard me say before, we have a great business. Over the last couple of years, we’ve put a great deal of effort in integrating the two companies and evolving our portfolio toward a greater mix of secured lending. In fact, we’ve taken a portfolio that was about 30% secured at the time we brought the two companies together and made the transition to 41% in Q3 of ’17, making for a much more resilient portfolio. And while this evolution has impacted yield in the near term, it has also contributed positively to our operating leverage in credit. As a result, we expect to once again deliver strong unlevered returns for full year 2017. We believe our returns or unequaled in the lending sector by any competitor of scale, and with the integration now fully behind us, we have additional runway to enhance those returns. We see further upside in operating leverage driven by continued responsible receivables growth and our portfolio migration to a greater mix of secured lending. We expect this to lead to improve unlevered returns in 2018. And with that, I’m going to turn the call over to Scott.
Scott Parker: Good morning, everyone. As Jay highlighted, third quarter was another strong performance for us. The team continue to execute on our strategic objectives and we may great progress towards improving the quality of our portfolio, our operating execution and our financial performance. So let’s take a closer look at this quarter results on Slide 8. We earned $59 million or $0.51 per diluted share in the third quarter on a GAAP basis versus $25 million or $0.19 per share in the third quarter of 2016. This quarter’s results included $27 million of estimated hurricane-related charges. Our consumer insurance segment earned $123 million this quarter on an adjusted net income basis or $0.91 per diluted share compared to $122 million or $0.90 per share in the third quarter of 2016. Note that this year’s third quarter performance included a pre-tax charge of approximately $22 million or $0.10 per share of estimated hurricane-related impacts. Moving on to the key drivers of our financial performance. We grew receivables by almost $500 million from last quarter, driven by the continued strong momentum in Direct Auto. In fact, we ended the quarter with over $2.7 million of Direct Auto receivables or 19% of the total portfolio, up from 13% a year ago. Interest income reached $831 million in the third quarter, roughly flat with last year’s levels and about 4% higher from the second quarter. Interest income was largely impacted by asset growth and the anticipated reduction in the portfolio yield due to the larger share of Direct Auto in our portfolio. This quarter’s yield was also reduce by $7 million or 20 basis points from the hurricane-related borrower assistance. We expect fourth quarter yields to stabilize around third quarter levels, excluding the impact of the hurricanes. For the first time since last year, APRs on our originations exceeded the APRs on balances leaving the portfolio. Moving on to credit. Third quarter portfolio performance remained strong. The third quarter provision was stable and in line with previous guidance, excluding a $12 million bill to reflect our best estimate of the hurricane impact. On a GAAP basis, our tax rate was slightly elevated due to some discrete items in the quarter. As you are aware, there is currently a lot of talk about reducing corporate income taxes. Although this is far from completed, if it does come through, it could have a meaningful impact on our earnings, given we are full tax payer. Moving to Slide 9. Let’s now take a look at our operating expenses for the third quarter, where we continue to make great progress: OpEx of $295 million with $35 million lower than third quarter of last year. Our OpEx ratio for the quarter improved by 150 basis points compared to the prior year, reflecting a successful execution of our cost savings plan and the leverage benefit of a higher mix of Direct Auto. Moving into 2018, we expect continued operating leverage improvements. Turning to Slide 10. We issued $900 million of ABS debt in September at attractive rates. The average cost of funds was 2.6% with a 91% advance rate and an SMP rating of AA. We also retired $250 million of unsecured debt. This reduced our remaining 2017 maturities to approximately $560 million. On the liquidity side, we continue to be in a very strong position. We have $4.5 billion of unencumbered consumer loans over $5 billion of undrawn conduit capacity and about $600 million of available cash at the end of the quarter. Turning to Slide 11. We continued to delever in the third quarter. Our tangible leverage ratio was 9.5 times, down from 9.9 last quarter. We remained on target to reach 9 times by year end as we expect the marginal increase in our fourth quarter debt to be outpaced by accelerated tangible equity growth, as the acquisition-related cost continue to decline. As we move beyond 2017, tangible equity growth will continue to accelerate as the impact of acquisition-related costs fall below $100 million in 2018 and $50 million in 2019. All in, we have made a lot of progress on our liquidity and capital over the last year, resulting in the best position we have had since the acquisition. With that, I'll turn it over to Jay for his closing remarks.
Jay Levine: Thanks, Scott. We started what we knew would be a journey almost 2 years ago, and while there has been some noise, we are thrilled with the heavy lifting behind us. We will continue to build on the momentum we achieved over the last couple of quarters as we closed open in ‘17. We expect to end of year with $14.7 billion to $14.9 billion of net receivables. This outlook reflect the impact of our pricing optimization and recent hurricane. As a result, for 2017, we now expect adjusted C&I earnings per share of $3.63, excluding the hurricane impact. Net-net, we feel very good about where we sit today. We are well positioned to drive stronger profitability, generate excess capital and build shareholder value. In fact, with greater capital generation and enhanced visibility towards our 7 times leverage target, we plan to evaluate the potential for capital distribution in 2018. With that, I'll turn the call back to Cathie to begin the Q&A.
Operator: The floor is now open for questions. [Operator Instructions] Your first question comes from the line of Michael Tarkan with Compass Point.
Michael Tarkan: Capital return comments, how should we think about that? Dividend buyback, just any kind of preliminary thought there?
Jay Levine: I think you said the right word “preliminary”, so I think we feel good about the progress we have made on the deleveraging. It certainly have been an important goal for us, and it’s going to be important to looking out what the capital generation capabilities are which we know are strong. But net-net, I’d say it’s going to be dependent upon share price, our own sort of opportunities but as well as what we think makes the most sense. But I’d say, one is preliminary, two is the kind of thing we expect to be discussing with board and it will have a lot to do with where to start dive in time and what makes most sense. 
Michael Tarkan: In terms of the growth outlook, what are you seen competitively? Has anything sort of changed over the past few months? And then in terms of 2018, I know it’s a little early, but just how should we think about your ability to continue to grow meaningfully given the current environment?
Jay Levine: We take the best proxy of consumer demand of the applications that we’re seeing and I’d say applications remain strong across the board from solid customers. So we haven’t seen really any lead-up in application flow or customer demand. We’ve generally said we feel as we did. I think it’s early to point any proxy for 2018 growth. I think we’ll probably discuss that as we round out the year. But I think the kind of pace we’ve been running at and the applications we’ve been seeing, I think we feel good about for now.
Michael Tarkan: And then lastly, I’ve got ask it, but the reports around potentially strategic alternate or sale, just any comments on that? Thank you. 
Jay Levine: No, as you can imagine, we don’t comment on market rumors. 
Operator: Your next question comes from the line of Arren Cyganovich.
Arren Cyganovich: If you could talk a little bit about the loan yield, you’ve mentioned that the yields were coming on higher than the existing book. Can you talk what the yields were on new originations? And just thinking about into 2018, do you expect that trend to continue to coming higher than the existing number?
Jay Levine: I think for competitive reason I don’t think we want to get into the specifics, but we’ve been through the quarter testing pricing, as we mentioned last quarter, in different segments. We’re not don’t yet regards that testing, but clearly we have mentioned that originations APRs are higher than those in the portfolio that are exiting. What I would tell you as we mentioned before, it takes some time for the portfolio to remix just slightly done on the loss side. So I think as you go into ’18, we feel good that we’ve kind of stabilized and then the trajectory, I think, will give you a little bit more color around that as we get into ‘18 guidance in next quarter. 
Arren Cyganovich: And then modest amount of, I guess, shortfall in terms of the projection in 3Q, how much was that – how much is related to the pricing increases versus the hurricane impact?
Jay Levine: It’s a combination of both and it’s very difficult to disaggregate all the component pieces of that. So I just say both the third quarter and kind of the fourth quarter outlook are a combination of both the pricing and the hurricane impacts.
Operator: The next question comes from the line of Moshe Orenbuch with Crédit Suisse.
Moshe Orenbuch: Last question. I mean, I know you don’t want to give specific guidance for ’18, but if both the third and fourth quarter kind of growth have certain impact from the hurricanes and new application volumes were strong, I mean it seems reasonable to assume that it could be mostly better in ’18 than it was in the second half of this year. Is that a reasonable assumption?
Jay Levine: In terms of growth?
Moshe Orenbuch: In terms of growth, yeah.
Jay Levine: Certainly. I think, if we don’t have hurricanes, we’ll certainly do better than if we didn’t have hurricanes. So look, as I said, we feel good about the applications. We’re seeing we feel good about the productivity, and hence, since we continue to make our branch and net-net, life without hurricanes will certainly be smoother and more glad to.
Moshe Orenbuch: With respect to the funding, I mean, obviously the secured funding that you did in Q3 was -- showed really good pricing. Any thoughts about remixing more towards secured just given the gap in -- and sort of how do you think about that in 2018?
Scott Parker: Moshe, this is Scott. I would say that we like the kind of the balance we’ve been in for a couple of reasons. One, the unsecured gives us a long duration, gives us a steady kind of amount every year that we can do; and on the secured side, the balancing is, as we’ve talked about, our liquidity sources kind of short term, our multiyear conduit facilities. And so having the unencumbered assets to pledge against them gives up the liquidity in the event that capital market. So the balancing act. But we kind of like the mix where we are and don’t expect to shift that materially as we go into 2018.
Moshe Orenbuch: Okay. Last thing from me is just, nice work on the operating expenses and you made some comments that suggests that that at least from an efficiency standpoint it should continue to improve if you continue to grow. I mean, any kind of further thoughts you can flush out for us?
Jay Levine: I think, as we mentioned before, I think I’ve said on previous calls, we’re going to fine tune that, but we expect to see nominal growth in operating expenses mainly driven by our kind of business model and having normal inflation records in our comp and bennies. But given the fact that our receivable growth will outpace that, we will continue to see operating expense leverage, just won't be at the pace that you’ve seen on the chart as we’ve gone through both the nominal reduction as well as asset growth. So I think there is still positive operating leverage in our model.
Moshe Orenbuch: Thanks very much.
Operator: Your next question comes from the line of John Hecht with Jefferies.
John Hecht: Good morning, guys. Thanks very much. I’m wondering -- I didn’t get kind of the details in terms of the disposition of originations in the OneMain versus the traditional – where the legacy Springleaf passes. I wonder if you can give us how walls performed amongst the various segments there and what's the composition? Is any difference in composition of wall originations at that level as well?
Jay Levine: It’s a high level, the low mixes look very similar. Once we integrated marketing underwriting what’s being closed across any of the branches looks very similar. Certainly, I’d state there is a little bit of differences, but between the two networks, the production of what’s coming through. Clearly if the legacy books from each but on originations, they’re almost identical. I think that’s the first part of the question. We knew there was a big gap in terms of how the two companies, one if that business historically in terms of OneMain historically having a much larger focus on first-time customers bring this larger on growth. And we knew a big priority was to close the differential to put emphasis on about new customers and growth and, look, thrilled where the third quarter got to. We have almost the key priority and then we’ve probably done maybe a quarter do faster than we even expected. So across the board a real take-up across the programs understanding of the various marketing initiatives and I feel like we’re well positioned for next year. 
John Hecht: And then wonder if you could talk about deals. I guess the iLoan platform, for lake of a better term, how much of your business has shifted to more than online presence? What does that mean from a competitive perspective as we think about the future?
Jay Levine: At a high level, I’d say omni-channel is very important to us. It’s important that customers have choices how they interact, et cetera. As I have said on previous calls, we continue to see a growing percentage of new customers apply online. We respond online. We get through a lot of pre-screening and even protection in the underwriting before they come to a branch. But today, 99% of the customers that we close a loan for are coming into the branch were going through the normal sets of verification, product suitable, et cetera, and that’s an important part of the overall relationship. So what I’d say is being equipped digitally to handle the changing dynamics has been important priority of ours for years. I think we’re doing a very good job executing on that. And I expect to continue in that way, but I will say the in-person interaction that you get the fact that it we think not only helps initially but helps with that relationship over time is an important part of our model. But we also understand and we’ll continue to look at for those that may or may not want to go to branch that are the better credit ways to fulfill that. So net-net, I’ll answer your early part. I loved a very tinny really integrator for us and something we think about for technology, but the core business is very omni-channel and we continue to look for ways that make sure we can suite all the customers’ needs that fit our box appropriately.
Operator: Your next question comes from the line of Sanjay Sakhrani.
Sanjay Sakhrani: I guess there is a lot of moving parts between the portfolio yields versus the mix and then the provision as well as you have some vintages sort of seasoning and stuff. As we look ahead, maybe could you guys help us think about the risk-adjusted yields of the portfolio and where they should stabilize?
Scott Parker: Yes. So I think what I would focus more on would the unlevered return aspect. I know risk-adjusted yield, as you kind of think about the secured portfolio, you might have a little bit lower yield. We have a lower losses, but also it’s the size of the loan and the operating leverage you get out of that. So I think when you’re looking that, that’s why we’ve kind of, as Jay mentioned in his prepared remarks, what we’re looking at is driving up unlevered return. And clearly, we look at risk adjusted yield for the different products, but it’s really focused on the overall profitability for the company based on each one of the products. So the secured tends to have a little bit lower risk-adjusted yield, but is made up with the operating leverage.
Sanjay Sakhrani: And then when we think about the mix of loans, is it that going to contain to move towards Direct Auto or can we shift back towards another – towards consumer installment?
Scott Parker: Well, I think we’re growing both parts of the portfolio. So it’s not that we’re not getting the growth. That’s just something as we looked at the different market opportunities, the different customer needs. There is clearly a need for the product. It’s both a good product for our customer and profitability for us. But I think the overall book is continuing to grow and the component parts of the portfolio will continue to grow just at different rates. Part of that based on question about where we see the market. The products we provide give us the ability to close certain loans that we would not normally do on an unsecured basis. So that gives us, I think, another leg relative to some of the competitors out there.
Jay Levine: Sanjay, the other thing I would add is, Direct Auto, it’s sort of end of a car the customer has. So the end of the day, we don’t totally control what when your customer had a car 10 years in newer and 10 year in older and sort of will just went out of that bucket and I don’t need to get into sort of the average hitting to the car in America. But most cars are over 10 years old on the road and particularly a lot of our customers’ cars. So we want to meet the demand to what they had and we’ll sort of size or set up loans appropriately based on collateral they bring and have available.
Sanjay Sakhrani: Okay. Final question back on capital distribution that was asked earlier. I understand it is really early to sort of discuss how you might do it, but just in terms of the levels of payout that you could conceivably be done given all that various constituencies you have. Is there any way to sort of frame that for us like how much of a payout you could potentially do? And then maybe just on the stock. I mean, you guys have demonstrated quite a bit of progress. I mean, I am just curious what your views are on the stock and sort of why it hasn’t broken out yet in terms of the multiples? Thanks.
Jay Levine: I think it’s early to figure out the percentage of capital distribution that could be sort of reinvested were distributed. But net-net, we have a great business that generate significant returns on equity and we think that is the single best investment for the capital if we can continue to compound at a 20% plus, which is sort what the core business makes. But at the same time you heard us say we’re not going to grow that doesn’t make sense with the long term. So I think we want to look at the mix. As part of your question, I will try – I had a great answer as to why we trade where we do, but I think if we continue what we’re doing, which is continue to put on spot for growth, continue to see enhancement in any unlevered return as Scott just alluded to, we think time will take care of itself because it is a great business.
Sanjay Sakhrani: Thank you.
Operator: Your final question comes from the line of Rick Shane with JPMorgan.
Rick Shane: A couple of things. You talked about the transition to secured lending and clearly seen the benefits in terms of credit and also frankly in terms of operating leverage that you extend the term of the loans, I am curious typically auto has a different reserve policy than you guys have observed if we look at the comps that are out there. Is that something that we need to think about headed into 2018 in terms of extending some of those reserves as the mix shifts?
Scott Parker: Rick, this is Scott. As we talked about, we’ve had a consistent methodology for kind of our reserving different products have different loss emergence periods. I would say that there is not a significant difference between the person loans and the auto loans that we have. But if that trend did manifest itself over time, we would adjust for that. But is it still in line with our overall loss emergence and reserving policy that we’ve had so far. 
Rick Shane: And then I would like to just talk about the guidance a little bit further remainder of the year. When we look out for the comments, basically yields been in line. You’ve highlighted the normalization of credit in line with expectations and the normalization of volumes at the former OneMain branches. OpEx has been absorbed, is doing very well. All of that said, even ex-ing out the hurricane impacts, you guys did lower guidance – well below the low-end guidance. What do you really attribute that to? Is it -- because again, if you look at those individual metrics in the way you describe them, it sounds like everything is in line to better.
Jay Levine: I think, Rick, we mentioned earlier that one the receivables side, it was attributable to two things. One was the pricing optimization and the hurricane. The hurricane in the fourth quarter, we expect to be less of an impact from the third quarter. But as we continue to work through our pricing, we factor that into our outlook and that’s kind of why we brought down receivables. 
Operator: We do have one more question from the line of Mark DeVries with Barclays.
Mark DeVries: The $27 million you called out as a hurricane impact was comparable to some other consumer lender is that much larger portfolios. So just help me to get some color on kind of why might have been that size kind of state where you might have had exposure, loan types where you might have had more of an impact and also whether you expect any kind of wondering effects into the fourth quarter?
Jay Levine: So if you go the overall mount side, break it down into the C&I is kind of really three component pieces that I called out, Mark. So $12 million was on the loan loss reserves. And we used historical experiences that we have in difference areas and different natural disasters, use that as a proxy for estimating the impact in the hurricane for this quarter. And so we feel good that we have addressed that based on our historical information. We had about $3 million of additional reserve build in our insurance business. We feel that that’s modest given that portfolio. I called out the $7 million on interest income, which was related to, as others have done, borrower assistance and helping our customers get through a tough time. And then the last piece which is outside the C&I segment was we put up $5 million for some of the legacy real estate that we have on the portfolio and set up reserves for that. So I think at the end of the day, you can never say, you got everything, but we felt pretty comfortable with our estimate that we’ve provided for the potential impact from the third quarter. 
Mark DeVries: Okay. And then just one other question on the charge-off guidance. If you’re calling for 4Q, it’s 6.5% which is only up about 10 basis points. When you would normally expect to see -- and always two years you had an 80 to 100 basis point sequential increase from seasonal weakness. Is that mainly due to fact – I think you called out that once your delinquencies were elevated due to integration related expenses, was this quarter kind of artificially elevated and then that completely flows through, explain why do would have almost a flat charge-off in 4Q?
Scott Parker: I think the simple answer, Mark, is I know there is a lot of details we provide in the supplement, but if you go back and look at the credit trends, the best proxy for the next quarter’s losses is the 90-plus delinquency, and if you look at second quarter 90 plus delinquency was 2.1, kind of yielded -- kind of mid 6s and charge-offs. The delinquency we ended in the third quarter was 2.1, so not to do symmetry or direct math, but that’s kind of the driver of why fourth quarter is what it is. It’s based on what's in the 90-day bucket and kind of we’ve seen improvement as we have talked about. You take out the integration some of the historical numbers last year, as Jay mentioned, there is some noise and the predictability, but we talk about the improvement on collection effectiveness in the back end of our buckets and that is manifesting itself from 30 to 89 days to 90 plus and then ultimately the charge-off.
Mark DeVries: Okay guys. That’s helpful, thanks.
Scott Parker: Okay.
Operator: I will now turn the floor back over to Catherine Miller for any additional or closing remarks.
Catherine Miller: Thanks, Cathie. This actually concludes our call for the morning. So please feel free to reach us with further questions. Thanks and have a great day.